Operator: Good morning ladies and gentlemen. Thank you for standing by and welcome to the Pinterest Second Quarter Earnings Conference Call. At this time all participants are in a listen only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your speaker today, Jane Penner, Head of Investor Relations. Please go ahead.
Jane Penner: Thank you, Julie. Good morning, and thank you for joining us. Welcome to Pinterest’s earnings conference call for the second quarter ended June 30, 2020. Joining me today on the call are Ben Silbermann, our President and CEO; and Todd Morgenfeld, our Chief Financial Officer and Head of Business Operations. Now, I’ll cover the Safe Harbor. Some of the statements that we make today regarding our performance, operations and outlook including the impact of the COVID-19 pandemic, may be considered forward-looking. And such statements involve a number of risks and uncertainties that could cause actual results to differ materially. In addition, our results, trends and outlook for Q3, 2020 are preliminary and may not be an indication of future performance. We are making these forward-looking statements based on information available to us as of today, and we disclaim any duty to update them later unless required by law. For more information, please refer to the risk factors discussed in our most recent Form 10-Q or 10-K filed with the SEC and available on the Investor Relations section of our website. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release and letter to shareholders, which are distributed and available to the public through our Investor Relations website located at investor.pinterestinc.com. And now, I'll turn the call over to Ben.
Ben Silbermann: Hi, everyone. Thanks a lot for joining the call this morning. Todd and I will be giving some brief opening remarks, touching on our results and our four strategic priorities, which are making Pinterest home to the most inspiring content, helping Pinners discover more use cases, making Pinterest more shoppable and scaling our ad business, then we'll be happy to take your questions. But before going into business results as we usually do, I just want to acknowledge that this period feels like anything, but business as usual for people and businesses here in the U.S. and across the world. First, there's COVID-19, which in addition to being a global health threat is impacting how people live and work, including all of us here at Pinterest. We're learning how to operate as a distributed workforce, and in this new climate, we're going to keep making collaboration and efficiency a priority, so we can keep delivering for Pinners and for our advertisers. In addition, here in the U.S., we're experiencing historic moment for racial justice, one that's leading companies to look at what they can do better, and Pinterest is no exception. We've made a number of commitments to drive change from improving representation in our product to increasing the diversity of our workforce, especially in senior roles. I know that this is not how most earning calls begin, but I want to be transparent with all of you and with the public that we're not just focused on what we're doing as a business, but also how we do business. These issues are top of mind with everything we do, and we're going to work hard to do right by all of our stakeholders. Now on to our business results. Pinterest had a strong Q2, in both the U.S. and international markets. More people came to Pinterest looking for inspiration than ever before. We ended the quarter with 416 million monthly active users, representing year-over-year growth of 39%. In particular, we saw strong growth from resurrected users, as well as from users under the age of 25, who grew twice as fast as users over 25. These users came looking for ideas as they adjusted to life during a global pandemic, and with new tools like the today tab, we help connect them to new use cases, everything from home office setups to recipes to cook at home to different summer activities for kids. We also continue to make our content more inspirational, and one example of this is video, which offers pinners another dynamic and engaging way to discover ideas. During Q2, total daily video views, which include both organic and paid, grew over 150% year-over-year, and we're looking to do more in the space. In addition, we also connected Pinterest to more shoppable content, so they can turn their plans into a reality. We saw catalog uploads from businesses increased by more than 350% from Q1 to Q2. And we built new features like our Shop tab and the ability to shop from boards to make it easier for Pinners to find this content. So in total, we're making a lot of progress in helping pinners find inspiration for their lives. This is work that, in my mind, because of everything happening in the world, is as meaningful and relevant as it has been in the last decade. And here to share more about what all this is meant for advertisers in our overall business is our CFO, Todd.
Todd Morgenfeld: Thanks, Ben. I want to give some brief color on the trends we've seen to-date in revenue, as well as to provide an informal outlook for both revenue and costs in Q3. I'll begin with a summary of the headlines and then we can go into more detail. Starting with Q2 revenue, we saw advertiser demand improve each month of the quarter. April was the weakest month in the immediate aftermath of sheltering in place. May growth rates improved and June showed further improvement. In July, we've seen a sharp acceleration in revenue to about 50% year-over-year growth, through July 29. We expect that revenue will grow in the mid-30s percent range year-over-year in Q3, this growth rate assumes a deceleration from the strong growth we've seen so far in July. I'll say more about this shortly. First to unpack what we've seen to-date and what we currently know to be driving our results, then I'll discuss our outlook and the significant uncertainties that we're facing. Q2 is characterized by initial softness in advertising demand and then a partial return of that demand. The formula was triggered by COVID-19-related lockdowns and the latter by the return of economic activity as those lockdowns eased. We saw ad demand recover across many verticals starting in May, with CPG showing particular momentum in the latter part of June and into July. The retail vertical lagged CPG, but has recently begun to recover as well. This was the pattern in both the U.S. and in international markets, but non-U.S. markets recovered a bit faster. On top of the macro driven recovery and advertising demand, we're seeing a lot of demand for Pinterest ad products in particular. Here's what our advertisers are telling us. First, our ads are working, especially for marketers seeking sales and conversions. The investments we've made in conversion optimization or OCPM shopping ads and auto bids are making it easier for these advertisers to hit their goals. In a world where their balance sheets are at risk, marketers want ROI accountable ads and we are delivering them. This has bolstered our ability to attract performance oriented medium-sized advertisers, a group that emerged as a key driver of our resilience in Q2. Second, the commercial mindset of our users is very attractive right now, because many advertisers want to drive online sales and Pinterest tend to be in market consumers. The early commercial intent on our platform also informs the insights we share with advertisers. And they are increasingly using these insights to understand leading indicators of demand in this unprecedented environment. In the words of the Head of U.S. Media at Ford, "I received a report that was incredibly interesting from Pinterest. They showed how people's behavior on the platform is changing from the types of behaviors you'd expect during shelter-in-place, recipes, crafts with kids, baking bread, deploying oriented behaviors, for example, thinking about vacations. Sure, we can always look at the quant data, leading indicators, traffic reports, et cetera. But to get at something that unlocks what people are actually thinking about, even if they're not saying it is really important. That's where the relationships really come to life between marketers and the platforms." Finally, advertisers feel Pinterest is brand space relative to other platforms. In a moment where there is a lot of hostile political conversation happening on social media, advertisers are looking for new places to put their dollars. We benefited from this in July. As I noted earlier, we expect that revenue will grow in the mid-30s percent range year-over-year in Q3, which implies a deceleration from the roughly 50% year-over-year growth rate we've seen quarter to-date through July. Let me unpack this. One month may not be representative of the full quarter and there's significant uncertainty for the following reasons. First, cases of COVID-19 arising and any new lockdowns would likely have a negative impact on advertiser demand. Second, our main seasonal moment in Q3 back-to-school will likely look very different this year, as schools across the U.S. embrace distance learning. This could lower both engagement and advertiser demand. Third, it's not clear, if or how long the tailwind we've experienced in July from advertisers boycotting social media will last. Finally, revenue growth in August and September 2019 was stronger relative to July 2019, when a product change briefly lowered our conversion optimization revenue. So year-over-year comparisons will be harder for remainder of the quarter. I also want to address our costs before opening it up for Q&A. On our Q1 call, I said we expected to grow operating expenses year-over-year in the second quarter, but we just reported a slight decline in this number. This was the result of implementing cost savings measures more quickly and our work from home model to a larger extent than we originally expected. We continue to invest for growth across our key strategic priorities of content, ads diversification, use case expansion and shopping. To that end, we grew headcount 21% year-over-year and 5% sequentially during the second quarter. We expect to grow OpEx in Q3 both sequentially and year-over-year to pursue the long term vision of the company, while continuing to monitor and to respond to the ever changing environment. I hope this detail has been informative and helpful. With that, I can turn it back to the operator and we can begin to take some questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Lloyd Walmsley with Deutsche Bank. Please go ahead.
Lloyd Walmsley: Great. Thanks for taking the question. Two if I can. First just drilling into the higher engagement, in the shareholder letter you said new users are engaging more this year than last year. Wondering how are new users specifically engaging differently maybe with the shopping functionality? And then, for that matter how our existing users are engaging with the shopping functionality? And then, just second one. As you look at more CPC advertisers running through automatic bidding and seeing improving ROIs, are you seeing them increase budgets? Any sense for what percent of your advertisers spend is on an open budget basis these days? Thanks a lot.
Ben Silbermann: This is Ben, thanks for the question. Why don’t I tackle your first question about user engagement, and then I'll turn it over to Todd around kind of all those on budgets. So, the question was how are new users engaging differently? And in particular, how are they engaging with some of the shopping surfaces? So, we find that the use cases that people are coming to Pinterest for are broadly similar, in that people are looking for ways of establishing new habits, especially in the time of change. So, many of our core use cases around making the home more livable, personal well-being and fitness does continue to be themes. Although, as I mentioned in the opening remarks, and we're seeing particular strengths in the growth of folks that are under the age of 25. The second part of the question was, how are these users engaging with some of the new shopping features. And we're seeing good engagement, although it still remains early. We've shipped shopping only surfaces and engagement with those surfaces up to 50% in the first-half of 2020. And we're also seeing more product only searches, which have grown by 8x in 2020. As you know, from previous calls our strategy in shopping is to make these surfaces, but to also make sure that they're filled with highly relevant products. And the two things we're doing to drive that are increase the number of merchants who have uploaded their catalog, and we saw a sharp increase in the number of catalog feeds uploaded, up 360% sequentially. And then to use machine learning and computer vision technology to make sure that we're matching the right products to inspiring themes. I hope that gives some color on shopping engagement and initial engagement [ph]. Todd?
Todd Morgenfeld: Sure. And on the second part of your question on automatic bidding, we start with why auto bid matters. Before automatic bidding, advertisers had to constantly manage their bid strategy in a dynamic auction. Now the auto bid tool does this for them and it aims to get advertisers the most clicks at the lowest possible Cost per Click or CPC or topic objectives, while spending their entire budget. We made a lot of progress on that during Q2. The last time we talked about 50% of our traffic objectives were flowing through auto bid. And now about 80% of CPC revenue is going through auto bid. And so budget utilizations have remained high for auto bid traffic objectives. And basically, we're better able to clear existing budgets and deliver more efficient cost per click, and generally higher click through rates. So, in other words, the advertisers are seeing a better return on their spend through auto bid, and we're taking the friction out of the process through better tooling. What I would say is, and one example of that is ARM & HAMMER baking soda, where for Do-It-Yourself, home science project campaign for kids. They were driving 77% more efficient cost per clicks on 23% higher click through rates. And so that's a specific example of how this can work for an advertiser. In general, what that's meant is we're better able to deliver against the budgets that are in the system today. And as advertisers are seeing these sorts of good returns and performance, we would expect over time for there to be more budget in the system. It's worth noting, in addition to the traffic objective auto bid that we did launch, as we said, we would a couple months ago, auto bid for our OCPM objective a few weeks ago, and we're seeing very good early traction there too.
Lloyd Walmsley: All right, thank you.
Operator: And your next question comes from line of Ross Sandler with Barclays. Please go ahead.
Ross Sandler: Hey, Todd, thanks for all the color on July and 3Q. Can we just talk a little bit like last call, I think you had talked about how some of your biggest retail advertisers, had like a capacity versus demand mismatch and that they were pausing their budgets before that normalized. And so, are some of those folks coming back now that we have these high growth rates in July? And in 3Q, where does that stand? And then, I guess, is it possible to parse based on your conversations that you're having with advertisers? Like how much is actually coming from the boycott issue versus all these great product initiatives that you're doing within the ad-stack? Is it like half from boycott half from Pinterest product initiatives and any color there would be helpful as well, just in terms of framing this recovery that you're seeing? Thanks a lot.
Todd Morgenfeld: Sure. I know last time, we talked a lot about the macro environment and because we grew the business initially on the back of omni channel, larger omni channel retail and CPG, we had exposure as some of those advertisers pulled back. We talked a lot about how non-essential retailers were suffering from store closures and essential retailers were sold out. And so that was a tough mix for us when they were pulling back for very different reasons. We have seen some recovery, I would say, it started with CPG and we've seen a lot of momentum there. On the retail side, the growth and the return of span has lagged CPG, but it has come back to some extent, as stores have reopened and as essential retailers have figured out their supply chain issues. I've been more encouraged by what I talked about in the opening remarks, about the strategic investments that we've made in our product and in our strategy to diversify our advertiser base into the mid-market, through improved tools, measurement and formats, driving resilience in the quarter and growth. And so I would say, we've seen three things drive the performance, both in Q2 and through July. One is the macro recovery that you talked about that extends across non-essential and essential retail and more notably in CPG. The second is all of the strategic investments we've made in our business and in our product, which is touched or been more exposed to the mid-market segment that we've been talking about for a while, in the spirit of driving ads diversification and more relevant content on the platform through conversion activities. The third thing you noted was around the boycotts. And what I would say about the boycotts, it's been a tailwind, but we do believe the majority of our growth in July has been driven by advertising demand, stemming from those strategic investments in the ad products that we've made over the last year and a half. It's not really clear how sustainable that boycott tailwind is. The boycott has given us an opportunity to win some budgets and to educate advertisers about how and why Pinterest is different. And while other platforms are at the center of political and free speech debates, people come to Pinterest to think optimistically about their futures. And that's especially relevant today, as we provide a respite from what could be one of the most contentious political news cycles in history. Being a service where people envision and plan their lives also creates opportunities, particularly as advertisers seek positive platforms to build their brands and to drive sales. So, we're seeing some evidence of more advertisers choosing Pinterest for this reason in July, it's really hard for us to say how sustainable or significant that trend is. We are tracking spend from advertisers who are participating in the boycott, but we don't know how much of that spent would have come to us anyway, because many of those advertisers do spend on both platforms over time, versus incremental spend due to the boycott. So we can't really quantify the impact precisely at this point.
Ross Sandler: That's super helpful. Thanks.
Operator: And your next question comes from line of Eric Sheridan with UBS. Please go ahead.
Eric Sheridan: Thank you so much for taking the question. Maybe two if I can. One, big picture. One, if we go back even to the IPO, you guys framed the investments you needed to make to reposition the company against your e-commerce initiatives and capitalizing on the international opportunity. Trying to tease out how far along we are in the investment cycle versus now where you're starting to see some benefit from those investments running through the topline? And what that might mean over the medium and long-term for leverage in the model? And how should we be thinking about that? And then Todd, maybe just one housekeeping just following up on Ross' question. With respect to the commentary in Q3, just because from the outside, and it's hard to conceptualize this. Is there any way to frame what the headwind is in August and September? Because, obviously, the guidance does imply a pretty heavy detail from the trends in July into the back part. Just, I think from the outside, it's tough to understand what that headwind or comp might look like? Thanks so much.
Todd Morgenfeld: Sure. So on the first, Ben may have some more color on this as well from a strategic perspective. But, I think your questions were more around leverage in the model. And I want to go back as you rightly noted, we talked a lot about how shopping will evolve online. And I think in this environment that's been accelerated. So, I'm very happy that we identified entering the year that we were going to prioritize shopping even more than we had historically, which is oppression. Our investments in e-commerce and shopping most notably have been improving the user experience. So, helping people find new ideas and bring them into their lives by discovering new products. And that's been enabled, as Ben mentioned, by better catalog ingestion and improving the high intense shopping surface experience for users on Pinterest. From a shopping advertising perspective, we noted that a lot of our growth came from conversion optimization and shopping ads, which are closer to online sales and conversion activity in an ROI accountable world. The financial contribution of shopping ads right now is still early days. We're focused mostly on allowing users to find new things and bringing them into their lives and improve that organic shopping experience, knowing that over time we'll start to see more revenue contribution from shopping, as we continue to improve the experience and convince advertisers that early intent on the platform is something that they want to promote against. So, I wouldn't, -- if you're thinking about shopping being a driver in the near-term, I would think of it as more of a contribution next year and beyond. On the international side, we made a lot of investments over the last year plus in building out in particular in Western Europe, more direct coverage and related sales support functions outside of the U.S., but mostly in the English speaking countries outside of the U.S. and Western Europe. We are hiring pretty aggressively in those markets leading into the COVID-19 shut down. And we found that those investments have been paying off nicely. And I think you've seen that in our results, where in the last quarter we grew international revenues 72%, despite all the industry headwinds. We will continue to build that out. I would say that there's still a lot of opportunity even in those markets where we have been making investments and scaling the business. We also have other unmonetized in large growing user bases like in Latin America, that over time we'll also monetize. So, a lot more to come there in terms of leverage in the model. In terms of the decel [ph], we did want to -- I tried to point out in the opening comments that there's just a lot in front of us right now. We don't know what the back-to-school environment will look like. It will be different. We know we've got this headwind that I called out from a much weaker July a year ago than we had this year. And there's a lot of uncertainty around COVID as we go into the fall. So, my expectation is that we will see some moderation in that growth. And frankly, as Ross pointed out around the boycott, we don't really know how much is there and how sustainable the spend that we are getting from the boycott might be. And so we try to capture all that in the mid-30s guidance.
Eric Sheridan: Great. Thanks for the color.
Operator: And your next question comes from the line of Michael Levine with Pivotal. Please go ahead.
Michael Levine: Congrats on the results, guys. Love to hear a little bit more, I know you're talking about the traction you were seeing on the shopping feed front. I mean, how much is this Shopify versus how much is this actually, you guys just getting to the right point to better facilitate the product catalog upload? And is there any reason not to think as we look into the seasonally stronger part of the year, I mean, shouldn't this show even further acceleration into Q4?
Ben Silbermann: Thanks, Michael. I can start off. So the question was how much of the progress that we're seeing on shopping is being driven by partnerships like the one we have with Shopify, and then how do we expect it to kind of move forward in the future? So, Shopify, we're very happy and very early on in that partnership. For those who haven't read this previously, that partnership allows a Shopify merchant with one click to set up a presence on Pinterest to upload their catalog. I would say that it's still early days and it's one of several partnerships that are important to us. And if you just take a step back, Pinterest's long-term vision for shopping is to really build a full funnel experience. So, we want to take people from the moment of inspiration when they first get an idea, and then play them all the way through so they can identify products that can make that inspiration a reality and eventually purchased. And that's going to be a long-term road. We're very focused right now I mean at the top in the middle of the funnel. So, we're improving the amount of inventory we have and we're building surfaces that keep Pinterest an inspiring place. But when the time is right, push people to identify the products they really want to buy. And that's the value proposition we want, both for retailers who really don't have a lot of ways of getting new customers early in the consideration cycle, and for Pinners who really think inspiration first, and then they think about what they want to buy as we go down. Part of the next question was, how should we expect that to evolve. There're obviously a couple of macro tailwinds. There's just been an acceleration in e-commerce driven by COVID, and we also continue to build the product. But in terms of quantifying how that will progress, over the short-term, I don't think we have a quantification, over the long-term we believe that we're still very early and that shopping journey as Todd alluded to in his previous answer.
Operator: And your next question comes from line of Brian Nowak with Morgan Stanley. Please go ahead.
Brian Nowak: Thanks for taking my question. I just wanted to go back to the 3Q guidance. So, when you called out one of the factors could be cases if COVID rising and more lockdowns. I guess with e-commerce surging and you're the micro side of the business improving so much with more advertisers, et cetera. Why are you sort of the view that a faster surge in COVID or lockdown could have a material impact in the business? So we can sort of understand maybe advertiser contribution or any advertiser exposure. And then secondly, in the guide, what are you sort of assuming on the pace of reopening in the U.S.? Thanks.
Todd Morgenfeld: Thanks for the question, Brian. So in retail, what we're seeing right now, I mean, first of all, I don't know. We really don't. There's so much uncertainty in the market that we don't have clear visibility on exactly what COVID-19 means for omni channel retail spend on our platform. What we know is that in mid-March, through the end of March, we saw a rapid deceleration in their spend on the platform because of two things. One was stores started to close, and the second is that four essential retailers, they were sold out and they have supply chain issues. So, advertising was not useful when stores were closed or it wasn't effective if they were sold out and couldn't deliver on demand. I don't know what the fall will hold in terms of future lockdowns, but what we're seeing is a rise in cases and the prospect of potentially slower store reopenings, less economic activity, and possibly just that uncertainty in general is something we need to factor in. What we're hearing from retail and advertisers, they have a shorter leash on their budget commitments right now, there are store closures in place and possibly more coming. While, we're still signing large joint business partnerships and seeing a lot of traction with those advertisers, the spend commitments tend to be smaller, more dynamic and more flexible in this environment. So, it's just harder for us to look out very far beyond where we are in the moment. And I kind of hearken back to what we've been trying to do over the last few months, which is to -- in our communications, be very clear about what we're seeing in the business in the moment, at a time of heightened uncertainty, which is why we've given a lot more disclosure about recent performance and monthly updates like we have over the last couple of months. And we've withdrawn our annual guidance, because in this environment just doesn't feel prudent. And that's because of the dynamic flexibility and uncertainty in some of these spend commitments, and dialing back of larger long-term commitments from some of these retail partners.
Brian Nowak: Got it. That's helpful. Thanks, Todd.
Operator: And your next question comes the line of Justin Post with Bank of America. Please go ahead.
Justin Post: Great. A few questions. I guess, obviously very strong international ads over $100 million over the last year. Where are those user locations? Are they in high value areas for monetization like in Europe or more detail on that would be helpful? And then I noticed in your outlook for at least for 3Q, you didn't mention Apple IDFA changes. Do you expect any impact from that as you look out over the next year? And then maybe one more on just the catalog evolution, where are you? Are you still very early in that? And how would that show up in the user experience? Maybe explain that a little bit to people. Thank you.
Todd Morgenfeld: Thanks, Justin. So, I heard three questions in there. I think I can take the first one on international user growth, and then I heard one on IDFA for Apple and catalogs that perhaps Ben can start and I can pile on if it's helpful. On user growth, the U.S. was our slowest growing geography at 13%. We saw obviously international markets overall grew 49% in the quarter to 321 million users, and our growth in every non-U.S. region exceeded U.S. growth. So, it's very strong growth in our monetizable English speaking countries outside of the U.S. and in Western Europe, where we've been making heavy monetization investments and we've seen good results. We have seen rapid growth in our -- the highest growth rates continue to be in our least mature markets, which is unsurprising. But we are seeing exceptionally strong growth across all geographies. I still expect that we'll be able to monetize a significant majority of our users over the next couple of years. And we are doing exactly that in English speaking countries outside of the U.S. today and in Western Europe. And as we've said historically, the next region for us would be Latin America, which we would expect to begin monetizing probably six months from now.
Ben Silbermann: Great. Justin, I heard two other questions, one about IDFA and the second about catalogs. So, on IDFA based on what Apple has shared, we do expect a new opt-in requirement for IDFA sharing will decrease our ability to measure conversions from iOS apps. So as a result, we're continuing an investment strategy we started last year to increase our tag presence, build first party measurement tools, as well as investing in alternative sources of signal and measurement and things like enhanced match. We also have the ability to leverage on platform signal as people engage primarily with commercial content partnership. So it's something we have our eye on and it fits into a longer-term theme that we've been talking about for a few quarters, about really investing in measurement solutions so advertisers can understand the return on their spend. The second question was around catalogs, and as we mentioned before, we've been extremely excited about progress on shopping in general in catalog uploaded in particular. So, we mentioned the catalog feeds grew 350% quarter-on-quarter, that's a 10x or half over half. Now, that's starting from a very low number, but still the progress has been really encouraging. We also have our VMT program, our Verified Merchant Program, and we're seeing both healthy growth there and healthy retention. And so, all signs are good, but the reason I say we're early is because there's still a lot of stores out there and we continue to invest to make sure that we adjust these catalogs, we understand what's in that catalog and we can give users a great experience. And I think that was the second-half of your question on how do we see the experience. What Pinners have always told us, is they want Pinterest to primarily start with getting inspired with an idea. It could be an image that causes them to think about how they might want to dress differently, or a video about setting up a home gym. And they want to work backwards that inspiration to figure out what are the products that can turn that vision into reality. So, the experience that we envision is that people engage as they do today. They look for inspiration. They save the things they’re excited about the feed board. They think that Pinterest is the place to plan for the future. But, we can actually begin to take them down the path of making that into reality. So in a scene, we can show them the products that are inside of it. They can visit a retailer's page and see their catalog and all the products within it. They can compare items to find the thing that's right for them. And it's that end-to-end experience, that we think is the big opportunity in shopping online. We feel like, once you know exactly what you're looking for, there are actually fantastic options for you to find the lowest price with the lowest shipping, but the problem that’s still really hard for a retailer is, how do I reach a customer who doesn't yet know exactly what product she's looking for. And we believe that one of the key ways to do that is to reach them at the moment of planning an inspiration and to work backwards from there.
Operator: And your next question comes from the line of Mark Shmulik with Bernstein. Please go ahead.
Mark Shmulik: Yes, hi. Thanks for taking the question, a couple if I may. First, so user growth seems very strong and led -- it sounds like by a lot call it the nontraditional core demos namely like Millennials and Gen Z. So is this a specific like internal objective to grow into those demos? And if so, can you share a bit of an approach like how the approach has been? How much of this is organic versus concentrated efforts you guys are making? And then, any colors you can share on how users are kind of trending in July? We've heard some of the other names talking about warning signs about engagement headwinds as markets then to reopen. But any color you can share there would be appreciated. Thank you.
Ben Silbermann: Yes, I can start. In terms of user growth, as you mentioned, we did see two areas of real strength. Folks that were coming back to platforms and they tried it at an earlier point, but caused their usage, and then special strength in Gen Z, so folks that are under 25 years old. Now our approach to growth has typically focused on use cases. So the reason when we talk through our core strategic priorities, we say and we really want to make Pinterest useful for as many use cases as possible, is that’s the lens that our users take. And so when we think about growing users, we think about how do we make it more useful in use cases that folks care about. For Gen Z, while some of use cases are the same. There are a few that are different. There's a little bit less focus on cooking for example, and there's more focus on crafts and art. And then, in terms of common things people are still looking for some of our core verticals like TV, fashion, things to make their home more livable. So, we're really taking that approach and some of the investments that we've made to improve the adoption of use cases, run the gamut from the today tab, which kind of guides people in an editorial way to things that we think are relevant right now, to better machine learning and recommendations. So, as people share what they're interested in, we can guide them to an adjacent use case, to making Pinterest just a better tool to go deeper those use cases. And we've launched features like, I'm allowing you to add a date to a board, I'm allowing you to add more project planning tools. I mean, that's the core of how we think about it today. Now, the second question and maybe Todd can chime in as it is really about the growth, looking forward in July. And it might be worthwhile to take a little bit of a step back and talk about the engagement that we're seeing. We've obviously seen an acceleration with COVID, and we think that's partly because folks are at home more, but it's largely also because people are rethinking and they're looking for inspiration on how to rethink some of their day-to-day habits, everything from cooking at home, to their home itself. And so, we see a lot of the users we might have expected to come in the fall actually been pulled forward into July. We're monitoring those engagement stats. And the things that we look at such as the number of searches people perform, the number of boards they create, they look really healthy compared to what we've seen in the past. And so we'll be monitoring that and this is obviously an unprecedented situation. We expect some pullback, but we still think that they're going to settle out well above pre-COVID levels. Anything to add, Todd?
Todd Morgenfeld: The thing I would add from -- yes, so I think that's the right overall perspective. But I think to this audience, one thing that I did want to point out is because we've had this conversation over the last year. Q2 tends to seasonally be our weakest quarter. So Q1 to Q2, user growth tends to be -- are by far our seasonally weakest quarter. As Ben mentioned, people are typically beginning to go outside of their homes and do things offline. And then we historically have seen user growth sequentially grow stronger in Q3, as people come back inside, they start planning for back-to-school and they start their holiday planning. And this year, people never left their homes. So, it's as Ben mentioned very unprecedented, but because people didn't leave their homes and we've seen this possible pull forward of user growth into Q2, that we typically would have seen in Q3, I would expect that sequential user growth going into Q3 would add about half the typical number that we've seen over the last couple of years of new MAU ads into Q3. So, I think, it's very difficult to say exactly how these cohorts perform. But, given the dynamics that we're seeing, I would expect significantly lower sequential user growth going into Q3, probably half the number that we've seen over the last couple years.
Operator: And your next question comes from the line of Douglas Anmuth with JP Morgan. Please go ahead.
Douglas Anmuth: Thanks for taking the questions. Todd, so maybe you could give us some color just around what you're seeing in terms of overall advertiser numbers or growth, and how that's translating into auction density. And then just related, can you just help us understand some of the volume price trends that you saw during 2Q? And then how that's inflected early in the third quarter so far? Thanks.
Todd Morgenfeld: Great. Thanks, Doug. So couple things. One, I'm going to go back to this theme, because I think it's important. What we've been hearing is that ads need to be ROI accountable in this environment, and the advertisers value the commercial planning mindset of our users and the focus on online sales and conversion objectives, like OCPM and shopping. So our investments in tools like auto bid, catalog upload, tag it option partnerships and now emerging tools for agencies. Those things are driving more advertisers to the platform. So, we've seen our advertiser growth in terms of number of advertisers accelerate, again year-over-year and spend from mid-market and managed small and medium business advertisers, who benefit from those tools, measurements, measurement and formats investments, grow significantly to now nearly half of our total revenue. So that's been -- I've been very excited about the strategy that we've been laying out and talking about with you all over the last year. We're seeing that unfold now in terms of the advertiser account and traction in the mid-market. I would expect Doug that over time that translates into more option density as more advertisers are on the platform seeing positive results, that's enabled by the tools that we built in the measurement solutions that we're rolling out. In Q2, it's a bit of a different dynamic, because demand was -- through from April, May and June was different than what we're experiencing today. We did see our ad impression count grow 17% in Q2 and our effective OCPMs or our pricing go down 11% that was driven mostly by the demand picture which was, frankly, healthy and bringing on more performance oriented advertisers around those conversion optimization and shopping objectives, and showing great returns, which we think will drive more people to the platform and we saw that in Q2.
Douglas Anmuth: Okay. Any comment on what's happening there to take you to the 50%-ish growth in July?
Todd Morgenfeld: Well, it's certainly gotten a couple of things. So we've definitely seen a return of demand and that has been across awareness objectives or brand advertisers and in performance objectives. And the auto bid product improvement that we made for traffic objectives and have now rolled out to our conversion optimization objectives has created more pressure on the option. And we've seen both clear, much better. So, it's been I think a healthy dynamic all the way around. The picture has definitely improved through every month from April, May and June and then an inflection point in July.
Douglas Anmuth: Great. Thank you, Todd.
Operator: And we have time for one more question coming from the line of Heath Terry with Goldman Sachs. Please go ahead.
Heath Terry: Great, thanks. I was wondering if you could give us a bit of an update on the technology side of things, specifically what you're seeing in the development of visual search? And to the extent that Jeremy has now sort of been there a little over a year, and surely has his feet well under him at this point, sort of where his priorities lie, I would appreciate sort of any insights and perspective you can share on those?
Ben Silbermann: Sure. So, we continue to invest in computer vision as a core technology. And there's sometimes an impression that computer vision only touches on one product, such as the lens product, which lets you take a photo, but it actually improves the relevance around the product itself. So when we talk about shopping, and being able to match images to products, computer vision needs with that. We talk about recommendations. It helps with that as well. And so we continue to make large investments in machine learning more broadly and computer vision specifically. In terms of some of the areas that Jeremy's looking at, look, there's a mix, there's obviously what we call our technical foundations. And we've been working on building a lot of our core platforms in a way that are more scalable. But we see an opportunity to continue to unify the way that we rank and look at both organic content and our advertising content. And that really is about the fundamental alignment that we know from the user's perspective exists between their goal, which is to get inspired and turn those things into something in real life, as well as the advertisers goal, which is to inspire the customers, get people all the way to a transaction. That continues to be a core focus, as well as making sure we're building efficient infrastructure, and also making sure that the service remains reliable and scalable as we grow.
Heath Terry: Great. Thanks, Ben.
Operator: And I will now turn the call back over to Jane Penner for closing remarks.
Jane Penner: Thanks everyone. That concludes our Q2, 2020 earnings conference call. I'm going turn the call over to Ben for some closing remarks.
Ben Silbermann: Thanks, Jane. I just want to thank everyone for taking the time to join us. Definitely, we appreciate your questions. And as always, we look forward to stay engaged with you in the future. Have a great day.
Operator: This concludes today's conference call for the Pinterest second quarter earnings. You may now disconnect. Thank you.